Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to Koppers Holdings Inc.'s Fourth Quarter 2024 Earnings Conference Call and Webcast. At this time, all participants are in a listen-only mode. If you need assistance, please alert a conference specialist by pressing the star key followed by zero. Following their presentation, instructions will be given for the question and answer session. Please note this event is being recorded. Now I would like to turn the conference over to Ms. Quynh McGuire. Please go ahead, ma'am.
Quynh McGuire: Thanks, and good morning. I'm Quynh McGuire, Vice President of Investor Relations. Welcome to our fourth quarter and full year 2024 earnings conference call. We issued our press release earlier today. You may access it via our website at www.koppers.com. As indicated in our announcement, we've also posted materials to the Investor Relations page of our website that we referenced in today's call. Consistent with our practice and prior quarterly conference calls, this is being broadcast live on our website and a recording of this call will be available on our website for replay through May 27, 2025. At this time, I would like to direct your attention to our forward-looking disclosure statement seen on Slide 2. Certain comments made on this conference call may be characterized as forward-looking statements defined under the Private Securities Litigation Reform Act of 1995. These forward-looking statements involve a number of assumptions, risks, and uncertainties, including risks described in the cautionary statement included in our press release and in the company's filings with the Securities and Exchange Commission. In light of the significant uncertainties inherent in the forward-looking statements included in the company's comments, you should not regard the plans and projected results as being achieved. The company's actual results, performance, or achievements may differ materially from those expressed in or implied by such forward-looking statements. The company assumes no obligation to update any forward-looking statements made during this call. Also, references may be made today to certain non-GAAP financial measures. The press release, which is available on our website, also contains reconciliations of non-GAAP financial measures to the most directly comparable GAAP financial measures. Joining me for our call today are Leroy Ball, Executive Officer of Koppers Holdings Inc., and Jimmi Sue Smith, Chief Financial Officer. At this time, I'll turn the discussion over to Leroy.
Leroy Ball: Thank you, Quynh. Good morning, everyone. I'll begin this morning by stating my disappointment in falling short of our financial expectations for the fourth quarter and full year 2024. We seemed to be on our way to meeting our fourth quarter goal after posting a record October, which followed a record second and third quarter for adjusted EBITDA. As the last two months of the year progressed, however, we experienced volume slowdowns in each of our businesses that could not be overcome by short-term cost measures. There are a number of factors for the drop, including the market share loss we called out in our PC business in November that began sooner than expected, some hurricane hangovers as customers needed to absorb the influx of material from late September and October storm response, issues with consistent car flow with rail customers that delayed shipments and backed up plants, and frankly, some of it was just companies pushing pause and proceeding with caution as they began assessing the outlook with the Republican White House and Congress. In anticipation of some of the challenges we knew we would face in 2025, we began in Q4 reducing our workforce through a series of actions that have to date resulted in a 5% reduction of our global employee base. This had very little impact on the fourth quarter but will result in over $10 million in savings this year. I'll get into more detail later in the call about my thoughts for this year, but to set the stage, I still believe we're poised to post a strong year overall in every important metric in 2025. It may not be a smooth and easy ride to get there. We anticipate earnings to benefit from a combination of top-line improvements that will ramp up as the year progresses, greater operating efficiencies, and continued aggressive cost containment measures across our business. We remain encouraged by the accomplishments of our global Koppers team to create a foundation for a connected world through our leading portfolio of critical products and services. I want to begin with a summary of key metrics for the fourth quarter as seen on Slide 4. We achieved consolidated sales of $477 million compared with $513 million in the prior year, reflecting the demand pullback I mentioned earlier. Despite the revenue shortfall, we still generated record fourth quarter adjusted EBITDA of $55.2 million compared with $53.9 million in the prior year quarter. Our adjusted EBITDA margin was 11.6% versus 10.5%. Fourth quarter diluted loss per share was $0.50 compared with diluted earnings per share of $0.59 in the prior year quarter. And while adjusted earnings per share for the quarter were $0.77 compared with $0.67 in the prior year quarter, GAAP EPS was negatively impacted by restructuring-related charges in addition to the standard LIFO and non-cash hedging impacts. We generated record fourth quarter operating cash flow of $74.7 million versus $66.6 million in the prior year quarter. Slide 5 outlines our full-year key metrics for 2024. Starting with consolidated sales of $2.09 billion compared with $2.15 billion in 2023, a slight decline driven primarily by continued soft pricing in our CMC end markets. This was partially offset by a record sales year in our railroad utility products and services business, driven by added sales from our Brownwood acquisition and some pricing benefit. Adjusted EBITDA was $261.6 million, representing our ninth consecutive record year in profitability. Adjusted EBITDA margin for the year was 12.5% compared with 11.9%. The 12.5% margin represents our best annual margin since 2021, and continuing to move this number higher will be a primary focus in 2025. Diluted earnings per share were $2.46 versus $4.14 in the prior year. Adjusted earnings per share were $4.11 compared with $4.36 in the prior year, representing our fifth straight year of crossing the $4 mark after never having reached it prior to 2020. We generated operating cash flow of $119.4 million in 2024 compared with a record $146.1 million in the prior year. More importantly, it was our second straight year in the black from a free cash flow standpoint, following the investment-heavy early years of our 2025 strategy, which had put us in a free cash flow deficit. I expect the improved free cash flow trend to continue in 2025 as operating cash flow improves and capital expenditures continue to moderate. Seen on Slide 6, Koppers Holdings Inc. will be hosting a virtual investor day on Thursday, September 18. The executive team will be unveiling the details of our 2030 strategic plan for more details in the months to come. In the meantime, please mark your calendars and plan to join us that day. I want to highlight a few more things before turning the call over to Jimmi Sue, as I don't believe that financial performance alone tells the full story of Koppers Holdings Inc. If you move to Slide 8, you'll see that about half our facilities worldwide, 23 out of 47, operated accident-free for the year. And notably, our Europe CMC and Europe PC businesses completed the year with zero recordable incidents. The focus of our leaders on driving leading activities once again led to a new all-time low recordable injury rate across Koppers Holdings Inc., enabling us to take our next step towards zero. I've said many times over, the safety and health of our people will always be a top priority. And the progress made in 2024 brings us closer to our goal. Slide 10 shows an important achievement worth mentioning. We're honored to be again recognized by Newsweek as one of America's most responsible companies for the fifth consecutive year. Our move up the rankings to 113 overall is a recognition of our holistic approach to business. Knowing that if we don't run responsible operations and value people as we seek to improve processes. Moving on to Slide 11, I want to point out the results of our 2024 employee engagement survey, which were slightly better than 2023, resulting in our highest engagement scores to date. We know that our chances of success improve dramatically with an engaged workforce that feels valued, is rewarded for superior performance, and is informed and aligned to our long-term goals. My thanks to everyone that took part because it is your feedback that enabled us to continue working on making Koppers Holdings Inc. a better place for everyone. I'll now turn the discussion over to our Chief Financial Officer, Jimmi Sue Smith.
Jimmi Sue Smith: Thanks, Leroy. Earlier today, we issued a press release detailing our fourth quarter and year-end 2024 results. My comments this morning are based on that information. As seen on Slide 13, we had consolidated fourth quarter sales of $477 million, a decrease of $36 million or 7% compared with the prior year quarter, as Leroy said, all in the last two months of the year following a record October. By segment, RUC sales were flat with the prior year, while PC sales were lower by $16.5 million or 10%, and CMMC sales decreased by $19 million or 14%. As seen on Slide 14, full-year 2024 consolidated sales totaled $2.09 billion, a decrease of $62 million or 3% versus the prior year. By segment, RUPT achieved record sales for the year with sales increasing by $45 million or 5%, while PC sales were lower by $20 million or 3%, and CMNC sales decreased by $87 million or 15% compared to the prior year. On Slide 15, adjusted EBITDA for the fourth quarter was $55 million with an 11.6% margin. By segment, RUPT generated adjusted EBITDA of $18 million with an 8% margin, PC delivered adjusted EBITDA of $29 million with a 19% margin, and CMC reported adjusted EBITDA of $9 million with an 8% margin. On Slide 16, full-year 2024 adjusted EBITDA was a record $252 million with a 12.5% margin. By segment, RUPT generated adjusted EBITDA of $82 million with a margin of approximately 9%, PC had adjusted EBITDA of $143 million with a 22% margin, while CMMC provided EBITDA of $37 million with a margin of over 7%. On Slide 17, fourth-quarter sales for our RUPS business were $216 million, consistent with last year. Sales were impacted by decreased volumes of Class One Crosstie, partly offset by higher utility pole volumes driven by our acquisition of Brownwood and continued price increases across multiple markets, mostly commercial crosstie and Australian utility pole. The market prices for untreated crosstie remain stable. Year-over-year fourth-quarter crosstie procurement was down 8% and crosstie treatment was down 11%. Adjusted EBITDA for RUPT was $18 million. Profitability declined primarily due to higher raw material, operating, and allocated SG&A costs, offset in part by net sales price increases, insurance proceeds, and record fourth-quarter operating profit and adjusted EBITDA in our domestic utility pole business. On Slide 18, our Performance Chemicals business delivered fourth-quarter sales of $148 million compared to $164 million in the prior year quarter. This can be attributed to lower volumes of residential wood treatment preservative, related to market share shifts and reduced demand for industrial preservatives, which together drove an 8.5% volume decrease in the Americas. In general, prices remained relatively flat compared to the prior year. Adjusted EBITDA for PC came in flat year-over-year at $29 million. Profitability was impacted by volume decreases and higher raw material costs. However, margin improvement was achieved through cost-saving initiatives, including lower logistics and overhead expenses. Slide 19 shows fourth-quarter sales in our CM and C business of $114 million compared to $132 million in the prior year quarter. This decrease was driven by reduced market pricing, totaling $11.3 million across most products, including an 8% decline in carbon pitch prices and an 18% decrease in carbon pitch volumes. These factors were partially offset by higher volumes of other products. Adjusted EBITDA for CMMC in the fourth quarter was $9 million compared with $4 million in the prior year quarter. This boost in profitability stemmed from lower raw material costs, lower allocated SG&A costs, and $2.8 million of bad debt reserve in the prior year quarter, partly offset by lower sales prices and volume. Compared to the prior quarter, the average pricing of major products was down 8% and average coal tar costs were lower by 7%.
Leroy Ball: The average pricing in major products was down 13%.
Jimmi Sue Smith: Average coal tar costs were down 18%.
Operator: As shown on Slide 21,
Jimmi Sue Smith: we continue to pursue a balanced approach to capital allocation. We invested $74 million of capital back into our business in 2024, and we're targeting $65 million for 2025. We returned $43 million to shareholders through our stock buyback in 2024, and our Board just authorized a new $100 million repurchase program. In addition, our board recently increased our quarterly dividend to $0.08 per share.
Leroy Ball: In terms of leverage,
Jimmi Sue Smith: we ended the year with $887 million of net debt and had $381 million in available liquidity at December 31. We finished the year with a net leverage of 3.4 times and remain committed to our long-term target of a 2 to 3 times net leverage ratio. While we certainly see our normal increases in leverage in the first and second quarters, we expect to end 2025 at or below 3 times leverage for the first time. As shown on Slide 22, in December 2024, we successfully completed the repricing of our senior secured term loan B due April 2030. The credit spread over SOFR on the TLB was reduced by 50 basis points from 3% to 2.5%. This transaction contributes to our ongoing efforts to optimize our capital structure, reduce interest expense, and it did not alter our leverage covenant maturity date. On Slide 23, total capital expenditures in 2024 were $77.4 million gross or $74 million net of cash proceeds. We spent $54 million on maintenance, $5.5 million on zero harm, and $18 million on growth and productivity projects. By business segment, we spent $32 million on RUPT, $15 million on PC, $27.5 million on CMMC, and nearly $3 million on corporate projects. And finally, on Slide 25, as announced on February 12, our Board of Directors declared a quarterly cash dividend of $0.08 per share of Koppers Holdings Inc.'s common stock. The dividend will be paid on March 24 to shareholders of record as of the close of trading on March 7. At this point, the quarterly dividend rate, which is subject to review by the board of directors, the annual dividend is expected to be $0.32 per share for 2025, a 14% increase over the 2024 dividend. And with that, I'll turn it back over to Leroy.
Leroy Ball: Thanks, Jimmi Sue. Now onto a review of each of the businesses. I'll start with Performance Chemicals on page 27. We expect a solid year overall for Performance Chemicals in 2025, but that business is coming off an all-time best performance it will not be able to repeat. As mentioned on our November call, as well as earlier on this call, we will experience some market share loss in our residential chemical business this year. We face some more aggressive industry competitors that have invested in bringing capacity online. Some of that conversion began earlier than expected in the fourth quarter and contributed to the volume reduction that Jimmi Sue mentioned. On the positive side, it's given us an opportunity to further diversify our customer base by adding several smaller accounts to backfill part of the lost demand. Importantly, we still maintained just over 50% overall market share in the residential market. Focusing on the North American market, which drives the bulk of results in this segment, I would describe customer sentiment for this year as cautiously optimistic. Persistently elevated mortgage rates, existing home turnover seemingly stuck in neutral, and declining consumer confidence due to policy concerns have treaters uneasy about whether we will see any growth in treated products this year. But on the flip side, remodeling spending seems to have flattened out after eight straight quarters of year-over-year declines. The Home Depot, on their call earlier this week, specifically called out decking and fencing as two of the categories that they saw strength in the fourth quarter. Our market forecast for 2025 is one of slight organic growth, while some hope also remains that spending to rebuild from the historic storms last year will begin in earnest. Anecdotally, excluding the market share loss I spoke to earlier, we have seen healthy demand. Our market forecast for 2025 is one of slight organic growth, while some hope also remains that spending to rebuild from the historic storms last year will begin in earnest. Anecdotally, excluding the market share loss I spoke to earlier, we have seen healthy demand. PC's industrial book of business remains robust, and we have more than enough capacity to satisfy increased demand when the utility pole market springs back. Share loss and relative economic uncertainty have us emphasizing the importance of cost control and efficiency gains, which we are pursuing across the organization, not just at PC. Tariffs remain somewhat the wildcard in this business as we do source some components of our production from China and other countries that could be targeted for tariffs, and the recent inclusion of copper in the discussion has created a new challenge with which to contend. All this seems to change by the day. We currently estimate tariffs on China, Canada, and Mexico have an approximate $5 million impact on PC, which doesn't include the potential impact. We do have mitigation options to address most of the US tariffs and believe that any impact for PC would be negligible. The copper issue could be a little more problematic, and so we're keeping a close watch on where this goes. The copper we use is predominantly domestically sourced scrap, which we hedge to smooth the volatility. Without getting too far into the weeds, the copper we purchased and the hedges we put in place are based off of pricing in two different markets that have traditionally been highly correlated. Now the noise around tariffs has caused the widening gap in the spread between those two markets, which is causing our hedges and underlying purchases to not match as well as they traditionally have, which is creating additional expense that we may not be able to recoup. This is a new phenomenon that we're working to mitigate in case it does persist. The total unmitigated impact of this issue in 2025 could be as high as $10 million. Factoring in the full impact of the copper issue I just mentioned, we are projecting our PC business to finish with adjusted EBITDA of about $113 million, down $30 million from 2024. Moving on to our Utility and Industrial Products business shown on page 28. Fourth-quarter 2024 sales and adjusted EBITDA were records as results were fueled by early strength from Hurricane Response and the contribution from Brownwood. Demand tailed off in the back half of November through the rest of the year, and we took a late-quarter inventory charge in Australia. Although not yet robust, demand in the early part of 2025 has recovered from the late fourth-quarter hangover and is at least back to levels seen for most of 2024 prior to the hurricane activity. Customer sentiment is that demand levels will likely not change until at least midyear. While customer demand is an important consideration, the linchpin of our growth in the utility market is through share growth in underserved geographic regions, which was the purpose of most of our investments in this business over the past couple of years. Now we are implementing the technology solutions and realigning the organization to more effectively expand the breadth of our sales reach. I'll repeat what I've said a number of times as it relates to greater market share penetration. We are not interested in participating in a race towards the bottom. We believe that a large swath of the U.S. and Canada would like greater options for supply, and that's what Koppers Holdings Inc. is interested in bringing to them. So we have no big investments, organic or otherwise, teed up at the moment for UIP in 2025, although we will continue to remain open to opportunities as they arise. Our utility pole plants are all running well. Our new Kennedy, Alabama plant has begun treating Douglas Fir, a Western species critical for the transmission market all across the U.S., and key for Koppers Holdings Inc.'s portfolio offering as we compete for certain customer accounts. At this time, we have no heightened concerns on the fiber supply as worries about the impacts from last year's hurricane damage seem to have abated with overall pricing remaining largely intact. Other than potential follow-on impacts from tariffs in our PC business on the chemical side, we have no current tariff exposure in our pole business as it relates to fiber or other major raw material expenditure. Our railroad products and services business is summarized on page 29. Unfortunately, we finished 2024 in RPS with a disappointing fourth quarter. Similar to UIP, demand did drop more than expected as the fourth quarter went on, and despite personnel and cost reductions, we couldn't quite overcome an 18% decrease in quarterly sales volumes. All but one Class One account saw lower sales in the fourth quarter, which was also the trend for the year, but the rate of decline was steeper than the first three quarters and larger than expected. Even commercial volumes were down in the fourth quarter despite being a bright spot for the full year. On the good news front, we are projecting up to an 8% volume increase in 2025, which is based upon discussions with customers and some market share shifting our way. Our projections are based upon customer interactions, which of course can change as evidenced by customer feedback that had us expecting a 5% volume increase in 2024 at the beginning of last year that ultimately turned into a 4% year-over-year deficit by the end of the year. While the performance of this business continues to be frustrating in many ways, I do see a path to measurable improvement in 2025 and beyond as our commitment to quality and reliability has led to market share gains and better pricing in certain Class One accounts. We haven't given up hope on the two accounts where we haven't realized meaningful price improvement, pivoted our attention for now to improving our unit cost through targeted initiatives that include reducing operating costs, overhead, and material waste. We won't see any direct impacts from US tariff actions on our rail business, but would have some exposure if Canada enacts retaliatory tariffs. Finally, in 2025, we'll begin to shift our crosstie recovery and disposal business model to one of recovery only. We reluctantly accepted that the rail industry isn't quite ready to pay the full cost for Koppers Holdings Inc. to responsibly dispose of its end-of-life ties. We've ceased grinding at Summerville, Texas, and effective tomorrow, we'll be closing our L'Anse, Michigan collection and grinding yard. This is unfortunate for the small but dedicated group that has faithfully served our customer base over many years and was recently recognized with our Zero Harm CEO Award for Safety. I want to personally thank the L'Anse team for their dedication and efforts. Next, onto the CMC business, which is summarized on page 30. While the fourth quarter was much improved from the prior year, it too fell short of expectations based upon softer volumes due to pullbacks in the latter half of the quarter. As announced in December, we are in the process of winding down phthalic anhydride and hydroxide production in our Stickney, Illinois plant due to declining market conditions completed our five years that we're not able to justify. The original plan was to cease production by the end of May, but we are working to beat that timeline by one to two months. This closure is not expected to result in any EBITDA improvement due to stranded costs and will result in an additional $43 million to $47 million in charges above the $8 million recorded in the fourth quarter. $22 million to $26 million of those charges will be cash expended for cleaning, waste disposal, and plant demolition and is expected to be spent by the end of 2026. At worst, we expect the plant closure to have up to $3 million of negative annual impact on EBITDA, but it will save us $40 to $60 million of capital investments over the next five to ten years. Like the L'Anse closure, it's never easy to shut down operations because of the impact on employees' lives and the communities we operate in. Again, I extend my thanks and appreciation to the 25 affected employees for their service to Koppers Holdings Inc., and our wish we could provide a better outcome. Actions are not the fault of anyone, but the result of an ever-shifting economic environment that will at times put us in the position of being the best owners of certain assets, and other times not. The level of portfolio repositioning that we've experienced in the past ten years is somewhat indicative of the mature markets that we serve. We've made these decisions, and we'll continue to make them as necessary to make our remaining business more competitive and put the business on stronger ground for our remaining team members. Stepping back to look at the global view of CMNC in 2025, we've not modeled much improvement in our end markets except for Creosote due to an increase in treating demand. As I mentioned, the variety of measures taken by the new administration to spur any restart of idle aluminum capacity, we've not factored that into our current expectations. Direct tariff impacts as of now are expected to be small with mitigation plans in place. As of now, we're expecting that the Creosote volume improvement along with further cost reduction and improved variable margin spread will drive a $14 million increase in adjusted EBITDA compared with 2024. On Slide 32, we expect consolidated sales to reach $2.17 billion in 2025, compared with $2.09 billion in 2024, which would represent a 4% increase. All of it attributed to stronger volumes and some pricing improvement in our RUPS segment, partially offset by net market share loss in Performance Chemicals. This represents a 7% improvement over 2024 adjusted EBITDA of $262 million. While there's a massive amount of noise in the system right now, we believe we can still show measurable improvement in 2025 as three of our four businesses are already at top levels with nothing but upside in front of them, and cost and other benefit measures in progress that will more than offset the challenges in front of us.
Operator: Also, we're a few weeks from completing a comprehensive assessment of each of our businesses
Leroy Ball: and functions, which will provide more insight into how much opportunity we believe exists beyond our current performance and what portfolio realignment is needed, if any, in order to reach our full potential. As part of the final touches to our 2030 strategy, that we plan to showcase in detail at our September 2025 Investor Day. As we think ahead to Investor Day and the metrics we plan to use to measure success, we expect us to place a greater emphasis on earnings per share moving forward, which justifiably includes the depreciation and interest burden of investments made to drive the EBITDA improvement we've been building towards through the current strategy. Now that the major investments have been made, I believe we can improve EPS by greater than 10% per year through 2030 due to multiple levers, which would be remarkable. I'll use that as a segue to direct you to Slide 34, which shows our 2025 adjusted earnings per share bridge and the strong improvement we expect in 2025 driven by higher operating earnings and lower interest expense. Accordingly, we're forecasting $4.75 per share in 2025, representing a new high for Koppers Holdings Inc. and a 16% improvement over 2024. On Slide 35, we're projecting capital spending of $65 million in 2025 compared with $74 million in 2024. Our 2025 CapEx spending reflects an ongoing normal run rate and will enable us to generate significant free cash flow over the next several years. Much of that cash flow is planned for debt reduction, as well as share repurchases if our shares remain undervalued. We've completed the heavy investment period of our growth strategy and are now poised to maximize the value of those investments as market conditions eventually improve. As I wrap up my prepared comments, I'll leave you with a few points I want you to take away from the call today. First, despite the uncertain economic environment we find ourselves in, we expect earnings to improve meaningfully in 2025 as we place even greater emphasis on driving improvement through actions that we control. Our business remains resilient, and our products remain critical elements of the markets they serve and will continue to be needed long into the future. Second, we're moving into a more normalized capital investment period beginning this year that will unlock significant free cash flow that we'll prioritize to reduce debt and leverage and buy back undervalued shares. Third, we believe that we have multiple ways to improve shareholder value through consistent double-digit EPS growth over our 2030 strategy timeframe, which we look forward to discussing in greater detail over the coming months, culminating in our virtual investor day in September. With that, I would like to now open it up for any questions.
Operator: We will now begin the question and answer session. To ask a question, you may press star then one on your touch-tone phone. If you're using a speakerphone, please pick up your handset before pressing the keys. And to withdraw your question, please press star then two. At this time, we'll pause momentarily to assemble our roster. The first question will come from Liam Burke with B. Riley FBR. Please go ahead.
Liam Burke: Leroy, you mentioned in your prepared comments about PC. There was market share loss, and you mentioned it last quarter, but it's moved into this quarter as well. What is your competitor strategy? Is it a pricing strategy, or is there an alternative formula that's competitive?
Leroy Ball: No, Liam. It's and just to be clear, this isn't new market share loss. Right? What we announced in November was planned for in 2025. Some of that started happening in terms of plant conversions in the fourth quarter, which was before we had expected, but it's the same share loss that we had mentioned back in November. Yeah, it's look, we have grown market share significantly, you know, in the time that we've owned that business. You know, to the point where, you know, most of the top treaters were sole-sourced with us. And I think, you know, over time, you know, they look to diversify their supply chain and mitigate some risk. They're, you know, they were looking to, you know, split a little bit of that business, and, you know, you had a competitor that had changed hands in terms of ownership. Some investments were made to be more aggressive in going after business, and, you know, it's purely what it is. I think it's a diverse risk on some of our customers' ends and an aggressive competitor who put some money into capacity to try and improve their overall business. Yeah. It's one of those things that as you continue to grow and get bigger and increase market share, you get to a point where, obviously, there's a greater risk and likelihood that you're going to go backwards rather than forwards. And so that's kind of where we found ourselves, and we're a little bit of a victim of our own success over the past ten years.
Liam Burke: Great. Thank you, Leroy. And you discussed on the UIP that there are no immediate plans of investment on expansion either. Is it because the acquisitions aren't out there, or do you just have other projects that have better opportunities to invest in?
Leroy Ball: Yeah. I'd say it's a couple of things. I'd say that, you know, we made some investments that are already going to provide us opportunities to grow share, you know, in markets that we don't have a lot of presence in right now. So we're working to start to deliver on those investments. And, you know, there's discussions going on and things that we're looking at relative to other geographic markets here in North America that, you know, we'll see how it develops over time. Some of it could happen this year. If so, we're not talking about big numbers at all. And so at this point in time, I'd say from a capital standpoint, we just don't see a lot of immediate near-term needs. Now, as we move into 2026, again, we'll be reassessing as we go throughout the year. But overall, I think for us to be able to continue to grow, a lot of the investments have been made. There's still some more to make. They're not huge in the overall scheme of things relative to the money that we spent in the last, you know, three-plus years.
Liam Burke: Great. Thank you, Leroy.
Operator: The next question will come from Gary Prestopino with Barrington Research. Please go ahead.
Gary Prestopino: Good morning, Leroy, Jimmi Sue, and Quynh. Leroy, I just wanted to ask a couple of questions here and then I'll jump around. You talked about your goal of share growth in underpenetrated regions. Yeah. Utility. Yeah. I assume you're hiring more salespeople, but have you actually started to pursue these underpenetrated markets, or is it something that's going to start coming through in 2025 with a bigger impact in 2026?
Leroy Ball: Yeah. So we've already been down that path. Right? Some of it is through the investments we've made to go into Texas, and so we've already been actively adding some business in that particular market. The Brownwood acquisition really opened up more opportunity for us to go up into the Midwest, in terms of where those assets are situated. You know, we're, you know, we're in the we will be in 2025, I believe, starting to see some of the benefits of that. In terms of being able to go up into and having more of a presence up in that area. And then as it relates to really going further west, you know, though that's still, you know, a little bit out in the future. We're just not really set up at the moment from an overall operations and distribution standpoint to go after those markets. It's, you know, it's kind of what Liam was alluding to, I guess, with his question around the investments in UIP and sort of where we sit at the moment. As it relates to, you know, expansion plans. So like, we're set up right now where I think we can act we have more than enough capacity to go after, you know, continue to make penetration into Texas and the Midwest. We're not yet really set up to go out West just yet, that's the, you know, the for the next phase of things, and that will be, you know, that will be out sometime probably 2026, 2027 time frame.
Gary Prestopino: Okay. And then that's great. And then just a question on the closure of the Stickney plant. Again, I'm not really a chemical analyst, but first of all, what level of sales can you quantify that? We're coming out of that Stickney plant.
Leroy Ball: Yeah. So the so what that particular unit of operation is is one that actually consumes a byproduct of our basically what we'll be what we'll be losing is a little bit of, if you will, incremental added value pricing and, you know, the coverage of costs associated with taking that byproduct that we make and making phthalic anhydride into it. So the naphthalene that we used to basically consume in that process will be selling out into the merchant market. So, you know, I forget what the overall impact on sales we had estimated that to be, but it's, you know, it's maybe, I don't know, $30 million, $35 million or something like that.
Gary Prestopino: Okay. And this plant was not producing any creosote that you use in your other things.
Leroy Ball: Stickney does. It's just through a it's just a different unit operation. So like I say, we have tar distillation which basically takes our raw material and produces carbon pitch and creosote and carbon black feedstock, and then this naphthalene that essentially goes into the phthalic anhydride production and then, you know, that gets sold out into the market. We're closing down the phthalic operation.
Gary Prestopino: Okay. Thank you.
Leroy Ball: Yep.
Operator: Your next question will come from Michael Mathison with Sidoti and Company. Please go ahead.
Michael Mathison: Good morning, you guys, and thanks for taking my question.
Leroy Ball: Sure.
Michael Mathison: My question relates to forecasting what you'll be doing with your free cash flow next year. Just some back-of-the-envelope figures with your reduction in CapEx and factoring out the Brownwood acquisition, that's an incremental gain in free cash flow of around $110 million even before any improvements in operating income. I know you'll be buying back shares opportunistically, but can you give us any kind of a guesstimate about how you'll be allocating free cash flow to share repurchases versus debt paydown?
Leroy Ball: Sure. So I think we even we tried to provide some clarity in the release that went out this morning. Look, our shares have been trading at a significant discount to, you know, our long-term average of enterprise value multiple. We see continued growth in our business, which will only continue to push that side of the equation up. So to the extent that the share price doesn't move, it's going to get even more undervalued, and we're going to buy back shares within our window and within our credit constraints under our current facility, you know, as that situation is in place. And then beyond that, we're allocating, you know, the additional free cash flow to pay down debt. And we believe that the combination of the two will get us, you know, by the end of this year to, you know, right around that three times leverage mark, and put us in a position to get meaningfully below it as we go into 2026.
Michael Mathison: Terrific. If you'll permit one more question, it looked like the key difficulty in Q4 for the RUPS segment was crosstie volumes for rails. I'm wondering if you've seen any improvements there in either volume or pricing.
Leroy Ball: Yes. So yes, and look, I think that was, you know, certainly short-term. You know, again, the discussions we've had with customers as it relates to volumes in 2025 would have us expecting an 8% increase in crosstie volume this year. And so, you know, we're planning for 2025 to be a pretty good year overall from a volume standpoint. As it relates to pricing, there's some contractual pricing that will definitely come through, and we continue to have discussions again with a couple of the customers that we've not been able to push the more meaningful price increases through, and there's some potential for some movement there, we believe. So, you know, right now, I'd say pricing, we do expect to be higher in 2025 overall, and volumes right now, our projections are for an 8% increase on crosstie.
Michael Mathison: Thank you. And good luck in the coming quarter and coming year.
Leroy Ball: Thank you, Michael.
Operator: This concludes our question and answer session. I would like to turn the conference back over to our CEO, Mr. Leroy Ball, for any closing remarks. Please go ahead, sir.
Leroy Ball: Okay. Thank you, everyone. I appreciate everyone's taking the time to participate on the call today and your continued interest in Koppers Holdings Inc. We'll talk to you again next quarter. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.